Eduardo Landin: Good morning, everyone, and welcome to our presentation of the 2024 results. Let me begin with an English sentence that is we walk the talk, yes. That's what we do as management. I would like to begin the presentation remembering our strategy. We said back in November 2023 that we will have a strategy to deliver growth, basically based on 4 pillars. I mean the first pillar was brownfield, generating long-term value, extending life of mines and also very focused on mineable resources. I mean it's noteworthy to bring resources that they are not going to be mineable. Also, we will be focusing on operational efficiency on site leadership to be close to the sites, I think is very important. I've been 6x on the site this year, I mean, 2024, Implementing a lean philosophy across the company, cost optimization projects and also our proven development record that has been demonstrated in Mara Rosa. ESG is very important for us, especially safety, the safety of our workers, water management, which is on top of the table, a new community approach, a new talent approach and also all our KPIs in place for 2030. And in terms of disciplined capital allocation, of course, our -- through our balance sheet to fund the organic growth of our projects, debt repayment, capital return through dividends. And of course, if we do any M&A, as we have done in Monte do Carmo has to be M&A value accretive. Also, we said that we were -- we will be focusing on core assets, and that's what we have done. The latest news is that in December, we have closed Crespo, Azuca and Arcata, we sold those projects. And today, we are focusing on our core assets Inmaculada and Royropata in Peru; Mara Rosa, Monte do Carmo in Brazil and San Jose in Argentina. Going to the results. We are presenting today the best result in the last 13 years. We have produced nearly 350,000 ounces. Our revenues went up nearly to $1 billion. Our EBITDA went up 54%. And also -- the cash at the end of the year was $97 million. We repaid $40 million of debt. So our net debt finished on $216 million, and we reestablished our dividends. Something which is very impressive and is based on our -- one of the -- of our main pillars is that we have been able to bring 2.8 million ounces of gold. If you multiply that value by $3,000, I mean, do you imagine the amount of money that we are bringing to the company. What we expect for 2025 is we will have the first year of Mara Rosa in full production. Royropata, we have been able to close the easement with the communities, and that's the first step. I just have a conversation. Somebody told me that we said that we will get the permit on 2026. I mean the permit is it will start right now once we have the easements with the communities, imagine the expectation of the communities for the payments with $3,000 gold price. I mean, it's been very, very difficult, but we have a great community team now in place. We have already a key installation license for Monte do Carmo, so it's ready for construction. On 2025, we will be producing between 350,000 and 378,000 ounces, and of course, we will maintain our strong ESG metrics. With that, I would like to pass the presentation to Eduardo Noriega to go through the P&L and the financial numbers. Thank you.
Eduardo Noriega: Thank you, Eduardo. Good morning. We're happy to announce a very strong set of results with revenue at around $950 million, our attributable net profit at around $117 million and EPS of $0.23 and an adjusted EBITDA of $421 million. Our revenue, as you can see, is up in line with our -- with strong metal prices, but also in line with the stronger production that we achieved mainly in Mara Rosa and also in Inmaculada. Our cost increased by 19%, mainly aligned with the increased production volume. But also, as you know, we had a net inflation in Argentina that contributed to that factor. Adding expenses slightly increased, but in line with increased gold and silver prices impacting workers' profit sharing, LTIP and other performance compensation. Exploration, we're also up aligned with the investments that we're making in our minds as well as in our projects, Monte do Carmo and Royropata. We had -- we recorded an FX loss mainly associated to the devaluation of the Argentinian peso and the Brazilian real. Our effective income tax rate was 33% and in the period, we recognized exceptional items with a net effect of $19 million, mainly impairments in our projects, Arcata and Azuca that were both sold in Q1 2025 and other minor impairments. In terms of cash generation, as you can see on Slide 8. We had strong cash generation from our operations in the first 4 columns of this slide. I would like to highlight Inmaculada generating around $192 million alone. We also paid taxes for $24 million, execute on our closure plans and current maintenance programs of $25 million. We had net interest payments of $22 million. We reduced debt by $29 million, and we had changes in working capital of around $26 million, mainly associated to the construction of Mara Rosa and products and processes and spare parts on the site. We sold Crespo in 2024 and received $15 million of cash proceeds. And also in the last 3 columns of this chart, we have the investments we did to complete the construction of Mara Rosa $17 million. We invested $51 million in Monte do Carmo from which $45 million where the cash consideration paid to Tesoro. And we also invested $33 million associated to Royropata, mainly payments associated to the easement agreements. Cost, as reported in our Q4 production report, we had slightly higher all-in sustaining costs. And as you can see in this slide, that increase was mainly associated to the ramp-up of Mara Rosa, which was slower versus what we originally considered. But we also had inflation in Argentina. We had -- the impact of higher prices in our royalties, legal workers' profit sharing in Peru as well as commercial discounts. And finally, we had some incremental cost in community and other expenses. Those variances were partially offset by cost efficiencies and CapEx carryover from 2024 to 2020 -- sorry, from 2024 to 2025. In terms of capital expenditures, our CapEx was aligned with guidance and Inmaculada in line with guidance and just to highlight that we had more higher cost of mine developments due to raw quality, but also, more importantly, mine developments to access new resources discovered during the year. And those effects were partially offset by the carryovers that I mentioned from 2024 to 2025 that were around $8 million, not more than that. In the case of San Jose, we, in addition to being aligned with budget, we executed our planned capacity increase that we have informed before, and some water management projects that we had on site, and we invested $11 million for those projects. In Mara Rosa, again, construction of the new mine was on time and on budget, and the total CapEx, construction CapEx for Mara Rosa was $205 million. In terms of balance sheet, we had a strong cash balance of $97 million and total debt of $312 million, bringing our net debt to $216 million, $40 million lower than what we recorded in 2023. Our net debt-to-EBITDA ratio was at 0.5x in the lower part of our -- of the range that we communicated in November, as you can see in our chart on the right. We also announced that we secured a new financing facility for $300 million at very competitive terms, as you can see here, this is a green loan with 3 KPIs that we are monitoring. And these committed facility gives us the flexibility to repay debt but also to execute on our growth projects and our strategic plans. We have hedges in place, as we are aware that for 2025, 2026 and 2027 but only represent 30% of our production for 2025. And for the rest -- for the other 2 years, it's below 13%. So we are pretty much exposed to the upside of gold and silver price. This is a very important announcement. We have restored our dividend -- we have implemented a dividend policy, as already mentioned by Eduardo Landin, this decision policy will be -- we'll calculate dividends applying a 20% to 30% to the free cash flow of the company in the year. And we have also provided a base dividend or a minimum dividend of $10 million per year. The dividend will be paid in 2 installments, it will be around 30%, the preliminary or the interim dividend and a final dividend of 70% based on final free cash flow calculations. Dividends will be paid if we are below 1.5x net debt-to-EBITDA, which as you could have seen, we are very comfortably below that level today. For 2024, we have announced a $10 million dividend, also based on the calculations that I -- based on the dividend policy that I mentioned before, at least keep in mind that in 2024, we invested around $100 million within Monte do Carmo, the construction of Mara Rosa but also Royropata. Finally, in our financial results section, I have this chart that I think clearly shows the discipline that we have been applying to capital allocation. As Eduardo mentioned before, we're walking the talk. We are executing on what we said in 2023. And as you can see in this chart, we -- in terms of brownfield exploration, priority #1, we added 2.8 million ounces -- gold ounces of resources. And for that, we invested $34 million. Number two, we completed the investment projects that we had in our portfolio, completing the construction of Mara Rosa, where we invested $17 million of construction CapEx, but we also advanced on our Royropata project, and as I said before, security easements advance on the -- some engineering front. And for that, we invested $33 million. In terms of debt repayment, we -- net debt was reduced by $40 million and we have a new financing facility that gives very good flexibility and allows us to execute on our growth. Capital returns. I already mentioned that we announced a dividend, new dividend, a dividend policy -- and finally, on M&A, which is pretty much following what we have -- what we mentioned in our 2023 strategy, we executed on the acquisition of Monte do Carmo. It's a very good acquisition on a project is very similar to Mara Rosa. And also very importantly, we executed on the divestment of 3 noncore assets, Crespo in 2024, and at the beginning of 2025, Arcata and Azuca. And for that, we received a cash consideration of $60 million when we receive royalties. And of course, this also brings savings in care and maintenance and other expenses. So again, a very strong set of results for 2024. And I will now would like to return to Eduardo to cover the strategic plan.
Eduardo Landin: Thank you. Thank you, Eduardo. Everybody name Eduardo in this company. Okay. Well, going to strategy, I have already mentioned our strategy is clear. It was presented and we are following this strategy. Going to ESG, I think it's very important that we have been able to keep our frequency rate around 1, which is for underground mine is a world-class level. And also our ECO score, you can see we maintain above 5, which is also world-class. If we go to the record resource addition, you can see that we present a plan. I mean, we said in November 2023 that we would add this level of resources in -- from '23 to '30. But just to see the importance of the addition in 2024 is that we have accomplished nearly more than 50% of any -- of any scenario that we presented for the 6 -- I mean, for 6, 7 years. In Inmaculada, we had 1 million ounces, in Royropata, we had nearly 1.3 million and San Jose, we had 256,000 ounces of gold. I mentioned that it's very important for us to reduce costs. And so based on 2024 results and looking at the pressures that we receive from the markets and the suppliers, we have put in place a very comprehensive plan to reduce costs. And just to mention some of them, we have a mine plan to develop high-grade areas in Inmaculada. Then we have some plans to increase recoveries also in Inmaculada. We have some initiatives to optimize the use of short grid consumption. As you can see in San Jose, we are repeating the SWAT project that we did in Inmaculada last year that give us a lot of results. And also, we are analyzing the possibility of doing heap leaching for the oxide next to surface in San Jose. In Mara Rosa, we are increasing the size of the fleet to see -- to have more productive cycles. And also, we are trying to increasing recoveries and not only at the site, at the operations, on corporate, the corporate expenses, we are doing some supply chain initiatives to try to get I mean, the synergies between the 3 countries. We are doing some improvement in the process of corporate expenses -- and Eduardo Noriega has a very important objective this year, which is bringing artificial intelligence to the company. We are going to do an assessment on all the processes that we have at the company and see how we can apply artificial intelligence. Inmaculada, I mean, has beaten the guidance since commissioning. It's a great site. As you know, we have 20 years permit now that we got in August 2023. And the idea in Inmaculada is once we are increasing resources is just to keep producing above 200,000 ounces with a very competitive all-in sustaining cash cost. In terms of I mean -- 2024 produced 220,000 ounces. We did a lot of initiatives to reduce costs and is -- I mean, is shown on the results. And it's true that we have some CapEx deferrals from 2023 and -- 2022 and 2023. But there is an important one, which is the main development from resource addition. And that's something that we need to -- I mean you need to take in consideration that every single time we add new resources we need to develop the new areas, and that's something that is coming in the all-in sustaining cash cost. In terms of the guidance, as I said, we will be producing about 200,000 ounces. In terms of the potential, I mean, brownfield potential, the plan for this year is to drill 35,000 meters, which is similar to the one that we did on 2024, and we will continue trying to add resources at the Eduardo belt and also new areas like Minascucho potential areas that we want to start exploring to see new areas to add resources. Royropata, as I said, I mean, we have a major brownfield addition at Royropata, 1.3 million ounces that has doubled the size of Royropata. I mean Royropata could become a new Inmaculada. We have a plan of 3,000 tonnes. And the most important step of 2024 is that we were able to achieve the agreement with our communities. To give you some ideas of the time line of the permit today is that this year, we are going to finish in August, I would say that we will finish the wet season and the dry season baseline studies. From August until a year after, we will do the document working with 2 consultants, Ausenco and a peer reviewer. And once we finish that document, let's say, August 2026, we will present this document to the government. We believe that, that document is going to be very robust because it's been done with a very good engineering firms. And I mean, the government has 90 days to approve it, but in real -- I mean, the reality is that it's going to take a year. So we expect to get these permits on time on 2027. As I said, it's a very, very impressive deposit. The level of CapEx that we have to put to develop this new mine is very low. And it could have a very impressive all-in sustaining cash cost since the grades are very high. And also the width of the resource is very impressive. It's like more than 5 meters, which will us -- will allow us to implement very productive mining methods. In terms of the potential, we will continue exploring the Pablo belt, which is this area, and we know we have evidence that, I mean, the mineralization continues this way. And that's the reason we are implementing this year 14,000 meters of drilling. Going to Mara Rosa. As we said, we have a slower ramp-up than we expect. We made a mistake on the assumptions at the beginning of 2024, but nevertheless, I mean, the project was done on time on budget. It produced 63,000 ounces. And the guidance for 2025 is to produce around 100,000 ounces with good all-in sustaining cash cost. In terms of exploration potential, Posse is here, this Mara Rosa. And as you can see, there is a lot of areas where we can add resources, and that's the reason we are implementing a program in Pastinho, Estrella, Morro Redondo all around this trend to try to incorporate as many resources as possible. This year, 2024, we have 200,000 ounces, which is nearly doubling the production of 1 year. So we are doing quite well. And the main objective is to double the resource -- the initial resource from now until 2030. Monte do Carmo, as you can see, is very close to Mara Rosa. So there is a lot of synergies between these 2 sites. We acquired this project by $60 million through the option. Today is fully permitted. I mean we could start building Monte do Carmo today. But we want to continue drilling. We want to finish the detail engineering. As you know, we like to go by the book, so we want to do detailed engineering. At the end of this year, we will present a new financial numbers for the project. And on top of doing the detailed engineering, we will buy the long lead time equipment to make sure that it's part of the project. We have a budget of $90 million. And of course, as I said, we will have -- I mean, we will update the economics of the project at the end of 2025. San Jose, Argentina, well, we have been extremely successful, implementing by only $9 million an increase -- a very important increase of plant capacity with a Vertmill, that was done on time on budget in Argentina, which is a very good objective achieved. And as I said on 2025, since we have been very conservative in terms of the budget and the devaluation, we are implementing a lot of efficiency projects to make sure that we reduce cost as much as possible. Good thing about our San Jose is that all these yellow area is the -- I mean, our properties or our mining properties. You see Cerro Negro there, and we have some Posse here. So our exploration team will continue drilling 11,000 meters in this area and also around Cerro Negro to see all the potential exploration of this area. In 2024, we have been able to bring 300,000 ounces, which is nearly 3 years life of mine, which is very good for San Jose. As you can see from these 4 graphs, our valuation is still very low compared with our peers. Despite that we have a record brownfield resource addition despite that 2025 will be the first time -- I mean, the first full year of production of Mara Rosa. And also despite that, we have Royropata as a big new project, and we have Monte do Carmo both great opportunities. What I can see is a company that today produced 370,000 ounces in 3 years, it could be producing more than 0.5 million ounces of gold, we're very competitive all-in sustaining cash costs. So I believe that there is a space for the market to recognize that this company could have a much bigger value. As a conclusion, we will continue to be very coherent with our strategy. And in 2025, we will continue being very coherent with our strategy. We have a world-class ESG performance. In 2025, it will be the first full year production of Mara Rosa. Inmaculada is doing extremely well. Monte do Carmo project is already added to our portfolio, and we are working to put on production very soon. Record brownfield resource addition in 2024, Royropata, to deliver more than 100,000 ounces per year from 2028, disciplined capital allocation, dividend restore, and of course, we would like to announce that in June 2025, together with our strategic Board will have a public presentation on brownfields, so done by Oscar Garcia. That's it. Thank you very much. And of course, we can open the session on Q&A. Thank you.
Q - Ian Rossouw: It's Ian Rossouw from Barclays. Just a question on your medium-term profile. On Slide 33, you provide a bridge, I guess, for the guidance you've given previously versus 2025 guidance. How should we think about this over the medium term? I mean, if you look at some of those buckets of CapEx, one-off CapEx, what is recurring? So how should we think about how that progresses into '26 and '27?
Eduardo Noriega: Thank you very much. We're not providing specific guidance for 2026 and 2027. If we look at our 2025 guidance, in that guidance, as I said before, we have around $30 million of projects that are not executed every year that are one-offs, if you may. And those are related to our the expansion of our tailings and capacity, the reverse osmosis plant in Inmaculada as well as some mine development. So I mean that is -- of course, our all-in sustaining costs in those years will also depend on where prices are as well as on our mine plans and the new resources that we may have to add. Now so far, our exploration program is working fantastically. And we are seeing some incremental cost from mine developments, but precisely to access those new areas, which are high-quality resources. So net-net, incremental value, but with the impact on all-in sustaining costs.
Ian Rossouw : And then just a follow-up on -- it's something I've asked previously, just in the cash flow statement, it still seems like you're losing about half of the money in Argentina that you repatriate, has there been any update on -- I mean, obviously, there's the RIGI Bill and on the fiscal terms there, is there any expectation that, that should improve?
Eduardo Noriega: In terms of macroeconomic expectations, I think the market, different from what they believe a year ago or a couple of years ago, the market is not expecting any further devaluation. The government is pretty much focused on controlling inflation. And for a country that things in U.S. dollar terms, no controlling inflation also means not evaluating the currency, at least not now. So I think what the market is expecting is to see -- to wait for the midterm elections and then unify the FX markets and eventually that should take care of the competitiveness in Argentina and eventually a devaluation. But we are prepared for any scenario. We have a fantastic asset there with high grades, and we're pretty much focused on controlling costs.
Ian Rossouw : But do you -- obviously, last year, you had the $9 million you spent on the expansion. I mean, is there -- is there opportunity to reinvest in the asset? Or will you pay more cash out to the parent and have that cash leakage?
Eduardo Noriega: I mean the best opportunity -- investment opportunities we have in Argentina are now exploration. The potential of the properties is immense, and we are aiming to and cover that potential through exploration. The excess of cash will be paid by dividends, but we have plenty of growth opportunities locally with the cash that we're generating in Argentina.
Ian Rossouw : Okay. Sorry. And then final question, just on the dividend. I mean you mentioned 30%, 70% sort of interim final split. But how should we think about it mechanically at the interims? Obviously, you don't know what the full year forecast will be. Should we apply that similar sort of 20% to 30% on the half year cash flows?
Eduardo Noriega: We will -- we'll have to make a call at the time, we need to declare our interim dividends based on how we're seeing the forecast for the year. But -- and if there is uncertainty in terms of prices, then we'll probably be more conservative in the interim front. But -- the -- in theory, theoretically, we should be paying 30% of the estimated free cash flow -- of the estimated dividends in the -- as an interim and then the final once we close out the results.
Richard Hatch : Rich Hatch from Berenberg. Eduardo, can I push you a bit more on this CapEx? So in January, when you came out with the guidance, clearly, the market reaction wasn't great because you got the CapEx number. So looking at it, is $200 million or $180 million to $200 million a sensible long-term number for the existing assets you've got plus brownfield exploration. I'm kind of thinking on $169 million to $180 million for '25, you said $30 million of that is one-off CapEx, so that's going to come away. You've got expiration of $36 million. And based on what you're suggesting there's a lot of exploration you can do to create value here. But long term, is a sensible kind of number for brownfield exploration plus sustaining CapEx, that $180 million to $200 million. Is that the right number to think about?
Eduardo Noriega: You mean overall? Or for Argentina?
Richard Hatch : No, no, for the whole business.
Eduardo Noriega: For the whole business. This -- I mean, we're not providing guidance, not because we don't want to provide it, but because that guidance will be based on -- or our estimate will be based on the life-of-mine plan that we typically produce in May. So we don't have more information that we're providing here to -- for that purpose. But I think you're looking at it, right. You should take the 2025 all-in sustaining costs adjust for nonrecurring CapEx. And then take out on top of that all the efficiencies that we are looking to achieve. If we have higher all-in sustaining costs in one particular year because of a project or the development of a new area to us, management, that is a something we will execute for sure because we know we're adding value. But -- so that's -- I don't know if I have answered your questions.
Richard Hatch : That's helpful. Second, just on Royropata, so congrats on the resource addition, excellent. Are you in a position to start to give us a steer as to what kind of life we should be thinking about modeling. Clearly, it should be longer than what we had yesterday, perhaps?
Eduardo Landin: I mean, similar to what I said before, we have not completed our life-of-mine plan for Royropata yet. We have an idea. We know that the quality of our resources is, it is amazing with around 600 grams per tonne of silver equivalent and width of around 6 meters. This is a super high-quality resource, and we expect strong cash generation from it and strong production as well. We don't know yet exactly what would be the number per year and how many years but we need to complete that exercise. And for sure, what we know this is a great asset that will add value to the company.
Marina Calero : Marina Calero from RBC. You presented us a lot of measures that you're working on in terms of cost efficiencies. Can you clarify on the time line for those? And if everything goes according to plan, how much cost do you think you will be able to take out of the business?
Eduardo Noriega: Well, it's something that is ongoing. I would expect to get some results on the second semester because all the projects are ongoing at the moment. And our idea is to beat our guidance instead of not -- I mean, like last year that we were not in the guidance, I mean, try to be lower than the guidance. I mean that's our idea. And believe me that the company and everybody in the company knows that, that's the objective. But I mean, I would be very proud if we are close to the lowest range of the guidance.
Marina Calero : Understood. And a follow-up on San Jose. You are exploring the area close to Cerro Negro. San Jose is roughly 20% of your EBITDA, but is a much higher share of your cost. Would you be open to selling this asset if it was an attractive offer on the table?
Eduardo Landin: Well, I mean, we don't have any plans to sell the asset at the moment. I mean we want to explore. We believe that we have a lot of potential. And of course, I mean, we find big resources around Cerro Negro. I mean it will be a very attractive asset for Cerro Negro, but doesn't mean that we will be willing to sell this asset. We have been in Argentina for many years, and we believe that Argentina is getting in a time that it will be very positive. So for the moment, we don't have any plans to sell the asset.
Unidentified Analyst: Just a couple of questions, just following up on what Marina was asking. The -- on the cost savings, it's quite clear you guys are heavily focused on this for 2025 and trying to come in towards the bottom end of that range. Are you sort of looking at the cost instead of putting numbers on things. Are you looking at it very similarly to 2024, which is you're expecting inflation to come, you hope it doesn't. But you've got enough cost savings programs in place to offset that. And although you don't want to quantify it, there are quite a few levers you could pull sooner rather than later, i.e., '25 rather than '26, and therefore, just offset cost inflation, try and keep costs as flat as possible year-on-year. Is that sort of the aim here with all of those cost savings initiatives.
Eduardo Noriega: Totally. I mean at the end of the day, I mean, this industry is cost efficiency. So -- and depending on 2 things. The way you explode the mines and the quality of your assets. I believe that we have very good quality assets. And so we need to be very strict with a lean philosophy across the company to try to maintain costs as low as possible.
Unidentified Analyst: Fair enough. Another 2 follow-ups on Royropata, First of all, thank you for the guidance. That's actually pretty helpful talking about how you see this going forward from mid-'26 possibly getting the permit by mid '27-ish roughly? If that were to take place, are there any early works that you can conduct to just get going pre-permit -- or do you have to wait for the permit I mean it's not a huge greenfield that you're building here. So there is a shorter time line that we're expecting anyway. But are there any early works that you can conduct pre-permit?
Eduardo Landin: I mean there is some early works that we need to do in the plant because we need to maintain the plant and take it to a state-of-the-art at the moment that production starts. And things -- another thing that we are talking with the government is to get some exploring permits during the time to see we can develop the mine, trying to look for new resources. So that could help, but at the end of the day, I mean, the truth is that we are not going to be able to produce until we get the permit.
Unidentified Analyst: Yes. Exactly. Okay. And then again, on Royropata, I guess what are you -- I mean, obviously, the permit is the biggest hurdle here, but outside the permit, are there any other major hurdles that you see because it seems not quite straightforward. You guys are doing a great job, and you've been working on it for a long time, still have a few more years to come. But what's the biggest hurdle outside or hurdles outside the permit?
Eduardo Landin: No. I would say that the most difficult thing has been the easement with the communities. And today, mean based on the fact that we are using very professional consultants, I believe that we are going to -- I mean, present the government a very robust document. And I mean I don't see -- I mean, of course, it could be any political risk that is not in our hands because we will have elections in 2026. But at the end of the day, I mean, we have been doing mining in Peru for 100 years. So I mean, we have been working with any government in Peru.
Patrick Jones : Patrick Jones, JPMorgan. Just a quick one. You mentioned the heap leach trials at San Jose. Can you just give us a little bit of color as to when you think that could either you get results from that and what that could look like in terms of production upside?
Eduardo Landin: Could you repeat the question, please?
Patrick Jones : So you mentioned that San Jose, you have some heap leach trials going on. Can you just talk a little bit about...
Eduardo Landin: Heap leach, yes, yes, yes.
Patrick Jones : Can you talk a little bit about what you think is the potential out of that, when that could yield some upside.
Eduardo Landin: Well, I mean, basically, as you know, we have been underground in San Jose for many years. And we have these pillars on surface that is like 50, 60, 70 meters, yes. So what we have done at the moment is to open pit those areas. We have -- today, we have 2 pits. And then you have 2 opportunities, take that material to the plant, but normally, it's not a high grade and it not have very good recovery based on flotation process. And so we were thinking to do ROM mining and do heap leaching. For that, we need some permits. But in Argentina, it's much easier. I mean, we expect to get a permit for the next between 3 and 6 months. So at the moment, we are doing some metallurgic test to see how much is the recovery and we are doing the trade-off between taking the material to the plant or doing the heap leach. But it's something that we will be implementing this year for sure.
Patrick Jones : Great. And any numbers you could give around that in terms of what you think that could be in terms of production upside?
Eduardo Landin: No, I mean, it's not an excess of production. I mean the fact is that if we heap-leach that material is going to have a lower recovery but much lower cost. So it will help to reduce the all-in sustaining cash cost of the unit.
Charles Gordon : We have a question from the webcast. This question is with the strong cash generation and cheap stock price, would you consider share buybacks in addition to the dividend payout?
Eduardo Noriega: It's something that we are not considering at the moment.
Charles Gordon : Okay. Thank you. Let's just check the phone lines just in case there's a question there.
Operator: [Operator Instructions] There appears to be no telephone questions at the moment.
Richard Hatch : Sorry, just one last follow-up. Richard Hatch from Berenberg. Just looking at your cost guidance for the year, $1,587 million to $1,687 million. So -- if I think about those $30 million of one-offs and kind of back them out, it's about $90 an ounce something like that. So just trying to think like what is the right long-term all-in sustaining cost for this business. So I guess -- so I'm not trying to like catch out on the CapEx number. It's just more to think like, should this business be a $1,500, all-in sustaining cost business, should it be lower? I suspect not higher, but like where is the right kind of long-term forecast for this to shake out?
Eduardo Noriega: We are in the long term for these assets, we're aiming to be below the guidance. So that is what we're working on last long term. But then if you take into consideration Monte do Carmo and Royropata, diluting the cost that you currently have, let's say, in Argentina and replacing it with much lower cost ounces from those 2 mines, our all-in sustaining cost in the long term for the company should be significantly lower.
Ian Rossouw : It's Ian Rossouw from Barclays. Just a follow-up. On your hedging policy, I mean, obviously, there's strong cash flows this year. Do you -- well, will you continue sort of opportunistic hedging? And then when we get into '26, '27 with Monte do Carmo, would you consider increasing that? Yes.
Eduardo Landin: Thank you. At this point, we're not considering it. When we executed on those hedges, you should keep in mind that the debt of the company was higher. We're using our balance sheet to buy and build Mara Rosa with the cash generation capacity that we have today, we are confident with that and are capable to finance our short-term growth without needing the hedges. So at this point, we're not considering taking any hedges.
Ian Rossouw : And then just on the $2.8 million increase in resources, how much of that was driven by changes in the gold and silver pricing?
Eduardo Noriega: Very, very low. Very low. I mean I can give you some -- let me take to the '17, here we go. I mean, cut-off grades in Inmaculada it was 64,000 ounces, at Royropata 44,000 ounces, at San Jose 87,000 ounces based on the price effect. So at the end of the day, I would say, more than 90% is bringing real discovery.
Operator: And there's nothing further online. So Eduardo, over to you for closing remarks.
Eduardo Landin: Well, thank you very much to be here today. I just leave you our purpose is responsible and innovative mining committed to a better world. And as I said, we will walk the talk, we will stick to our strategy to see how are we going to develop this company to the next level. Thank you very much. Thank you.